Operator: Welcome to EPR Properties Q3 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. If you have any objections, please disconnect at this time. I would now like to turn the call over to Brian Moriarty, Senior Vice President of Corporate Communications.
Brian Moriarty: Thank you, Sophie. Thanks for joining us today for our Third Quarter 2025 Earnings Call and Webcast. Participants on today's call are Greg Silvers, Chairman and CEO; Greg Zimmerman, Executive Vice President and CIO; and Mark Peterson, Executive Vice President and CFO. I I'll start the call by informing you that this call may include forward-looking statements as defined in the Private Securities Litigation Act of 1995, identified by such words as will be, intend, continue, believe, may, expect, hope, anticipate or other such comparable terms. The company's actual financial condition and the results of operations may vary materially from those contemplated by such forward-looking statements. Discussion of those factors that could cause results to differ materially from these forward-looking statements are contained in the company's SEC filings, including the company's reports on Form 10-K and 10-Q. Additionally, this call will contain references to certain non-GAAP measures, which we believe are useful in evaluating the company's performance. A reconciliation of these measures to the most directly comparable GAAP measures are included in today's earnings release and supplemental information furnished to the SEC under Form 8-K. If you wish to follow along, today's earnings release, supplemental and earnings call presentation are all available on the Investor Center page of the company's website, www.eprkc.com. Now I'll turn the call over to Greg Silver.
Gregory Silvers: Thank you, Brian. Good morning, everyone, and welcome to our third quarter 2025 earnings call and webcast. The third quarter marked another period of steady progress as we continue to position the company for accelerated growth and expansion. We are pleased to report a 5.4% increase in FFO as adjusted per share versus the same quarter last year and an increase at the midpoint in our FFO as adjusted guidance for the current year. Our disciplined deployment strategy is enabling us to expand our portfolio of experiential properties. Our team is leveraging both existing relationships and new partnerships, and we have a pipeline of investments that are actionable over the next 90 to 120 days. However, given the fluidity of timing, we felt it prudent to not raise investment spending guidance at this time. Larger opportunities are now accessible, and we're moving decisively to capture them as we look towards 2026. During the quarter, we also made continued progress on our strategic capital recycling program. This program has largely been focused on planned noncore theater and opportunistic education dispositions with targeted reinvestment in growth experiential sectors. Our work here has materially strengthened our portfolio and provided for accretive reinvestments. Turning to our portfolio and industry health. Our third quarter consolidated coverage remained strong at 2.0, reflecting continued portfolio stability. At the Box Office, we anticipate a robust fourth quarter and expect 2025 to set a new post-COVID high. The continued recovery of the Box Office has led to a significant increase in percentage rent from our Regal lease. We believe this percentage rent feature has strong upside in the future as we anticipate continued growth at the Box Office. We continue to be pleased with the resilience that our tenants have exhibited as consumers prioritize experiences. At the same time, to mitigate potential economic pressures on consumers, many of our tenants have launched new initiatives. These include annual pass programs with bundled discounts, dynamic daypart pricing and group discount offerings. We are also seeing widespread adoption of enhanced technology across our tenant base, which has the potential to both improve the customer experience and create greater efficiencies. I'd also like to remind everyone that we've successfully navigated many economic cycles over the past 25 years. During this time, we've witnessed the importance and resilience of congregate value-oriented entertainment and leisure in the daily lives of consumers. Lastly, I would like to comment on the status of the proposed transaction involving the sale of our Catskills Land affiliated with the Resorts World Gaming property. We've been advised that the bond transaction, which we understand will be used to fund the exercise of the purchase option will be delayed pending the recently announced proposed merger among Genting gaming entities. While our tenant has indicated their desire to complete a bond transaction and option exercise in 2026, the timing and outcome of such a transaction remains uncertain. Regardless of whether the option is exercised, our strong balance sheet and clear visibility into future opportunities position us to materially accelerate investment spending in 2026. Now I'll turn it over to Greg Zimmerman to go over the business in greater detail.
Gregory Zimmerman: Thanks, Greg. At the end of the quarter, our total investments were approximately $6.9 billion with 330 properties that are 99% leased or operated. During the quarter, our investment spending was $54.5 million. 100% of the spending was in our experiential portfolio. Our experiential portfolio comprises 275 properties with 53 operators and accounts for 94% of our total investments, or approximately $6.5 billion. And at the end of the quarter was 99% leased or operated. Our education portfolio comprises 55 properties with 5 operators and at the end of the quarter was 100% leased. Turning to coverage. The most recent data provided is based on June trailing 12-month period. Overall portfolio coverage remains strong at 2x. Turning to the operating status of our tenants. Q3 Box Office was $2.4 billion, down from $2.7 billion in Q3 2024. 7 titles grossed over $100 million, led by Superman, Jurassic World: Rebirth, and a Fantastic Four: First Steps. The Q3 2025 comparison was difficult because Q3 2024 was anchored by the strong performance of from Deadpool & Wolverine, Despicable Me, Twisters and Beetlejuice Beetlejuice. The slate for the fourth quarter is anchored by 3 films projected to gross over $200 million, Zootopia 2, Wicked: For Good, and Avatar: Fire & Ash. Box Office through the first 3 quarters was $6.5 billion, a 4% increase over the first 3 quarters of 2024. Our estimate of North American Box Office for calendar year 2025 is between $9 billion and $9.2 billion, an increase of approximately 6% at the midpoint from 2024. Turning now to an update on our other major customer groups. Andretti Karting opened strongly in Oklahoma City in mid-July. The Kansas City location opens in mid-November and Schaumburg, Illinois is expected to open in the second quarter of 2026. Our second Pinstack located in Northern Virginia is also expected to open in Q2. Notwithstanding macro pressures on consumers, our Eat & Play coverage remains strong and above pre-COVID levels, and metrics are stable when compared to Q3 2024. We saw increased EBITDARM across our Attractions portfolio, buoyed by strong performance in our Canadian assets and at Enchanted Forest Water Safari. As we have said for some time, we see a lot of momentum and investment potential in the Hot Springs space. We are very pleased with the performance of all 3 of our Hot Springs investments. Driven by attendance growth and the $90 million expansion at the Springs Resort in Pagosa Springs, EBITDARM and revenue for the portfolio are up year-over-year. Both Iron Mountain Hot Springs and Murietta Hot Springs Resort continue their attendance and revenue growth. Because of the strong performance at Iron Mountain Hot Springs, in Q3, we funded $18.25 million in accordion financing, which reflects our conservative acquisition underwriting practices. Our underwriting thesis was that this asset would continue to grow and outperform expectations. We work with our operator to include in accordion feature, which contemplated additional investment once the asset achieved agreed-upon metrics. The expansion of our Jellystone Kozy Rest RV Resort near Pittsburgh, helped drive overall growth in our experiential lodging portfolio with gains in EBITDARM and revenue across the portfolio in Q3 over Q3 2024. Our ski properties experienced revenue growth over the summer months. It's too early for any indication of the upcoming ski season. Our education portfolio continues to perform well. Our customers' trailing 12-month revenue for Q2 was essentially flat, with EBITDARM down due to expense increases. Our investment spending for Q2 was -- Q3 was $54.5 million, entirely in experiential assets and includes funding for projects that we have closed, but are not yet open. Our year-to-date investment spending is $140.8 million. During the quarter, in addition to the $18.25 million accordion funding in Iron Mountain Hot Springs, we made our first investment with the high-end Canadian fitness firm, Altea Active, providing approximately $20 million in mortgage financing secured by their club in Winnipeg, Manitoba. We are excited to start a new relationship with one of the best fitness operators in Canada and to provide growth capital to Altea as they look to expand their brand. We anticipate continuing to increase our investment spending cadence in the coming quarters. We continue to see high-quality opportunities in both acquisition and build-to-suit development in our target experiential categories. As Greg noted, our disciplined deployment strategy has enabled us to expand the depth and breadth of our portfolio of experiential properties. As we have mentioned frequently, we are especially bullish on the fitness and wellness space. And given our deep relationships, the increased focus on fitness and wellness among multiple generations and demographics and the wide range of investment opportunities from hot springs to spas to fitness. Our investment spending this quarter reflects these deep relationships and high-quality investment opportunities. As we approach year-end, we are narrowing our investment spending guidance for funds to be deployed in 2025 from the range of $200 million to $300 million to the range of $225 million to $275 million. We have committed over $100 million for experiential development and redevelopment projects that have closed, but are not yet funded to be deployed over the next 15 months. We anticipate approximately $25 million of this amount will be deployed in Q4, which is included at the midpoint of our 2025 guidance range. Our team is leveraging both existing relationships and new partnerships to develop a pipeline of investments actionable over the next 90 to 120 days. Given that some could fall into 2026, we did not think the timing was right to raise investments in any guidance now. As we look forward into 2026, we are also seeing larger opportunities and are moving decisively to capturing. As we noted on our Q2 call, early in Q3, we sold our last vacant AMC theater in Hamilton, New Jersey to the Children's Hospital of Philadelphia. We also sold a vacant parcel in Q3. Combined net proceeds were approximately $19.3 million with a combined gain of approximately $4.6 million. In the past 4 years, we have sold 31 theaters. We have one remaining vacant theater. Subsequent to the end of the quarter, we received approximately $18 million in a paydown of our mortgage with Gravity Haus, resulting from their sale of their asset in Steamboat Springs. Through the end of Q3, we sold approximately $133.8 million of assets. We are increasing our 2025 disposition guidance to the range of $150 million to $160 million from a range of $130 million to $145 million. I now turn it over to Mark for a discussion on the financials.
Mark Peterson: Thank you, Greg. Today, I will discuss our financial performance for the third quarter, provide an update on our balance sheet and close with an update on 2025 guidance. FFO as adjusted for the quarter was $1.37 per share versus $1.30 in the prior year, an increase of 5.4% and AFFO for the quarter was $1.39 per share compared to $1.29 in the prior year, an increase of 7.8%. Before I walk through the key variances, I want to explain 2 offsetting items excluded from FFO as adjusted and AFFO. First, with regard to dispositions for the quarter, net proceeds totaled $19.3 million. We recognized a net gain on sale of $4.6 million. Also included in gain on sale for the quarter was a $3.5 million gain related to the exercise of an early termination option of a ground lease. Second, provision for credit losses net was $9.1 million for the quarter, and related to fully reserving one mortgage note receivable for $6 million related to our only investment with 1 small borrower, and changes in our estimated current expected credit losses, mostly due to macroeconomic conditions. Now moving to the key variances. Total revenue for the quarter was $182.3 million versus $180.5 million in the prior year. Within total revenue, rental revenue increased $6.2 million versus the prior year, mostly due to the impact of investment spending, rent bumps and higher percentage rents. Percentage rents for the quarter were $7 million versus $5.9 million in the prior year, and the increase was due primarily to higher percentage rent recognized from one of our theater tenants, offset by lower percentage rents recognized from our attraction properties. Both other income and other expense related primarily to our consolidated operating properties, including The Kartrite Hotel and Indoor Water Park and our 4 operating theaters. The decrease in other income and other expense versus prior year is due primarily to the sale of 3 operating theater properties in the first half of this year. On the expense side, G&A expense for the quarter increased to $14 million versus $11.9 million in the prior year, due primarily to higher estimated incentive pay, including noncash share-based compensation expense. Interest expense net for the quarter increased by $371,000 compared to the previous year, due primarily to an increase in our weighted average interest rate on outstanding debt to -- due to additional borrowing on our unsecured revolving credit facility to pay off lower-rate senior unsecured notes at their maturity last quarter. Equity and income from joint ventures for the quarter was $2.9 million compared to a loss of $851,000 in the prior year. This increase is due to our decision to exit our joint ventures in Broadridge, Louisiana and St. Pete, Florida in late 2024 as well as better performance at our 2 RV Park joint ventures. FFO as adjusted for the 9 months ended September 30 was $3.81 per share compared to $3.64 in the prior year, an increase of 4.7%. And AFFO for the same period was $3.83 per share compared to $3.61 in the prior year, an increase of 6.1%. Turning to the next slide, I read some of the company's key credit ratios. As you can see, our coverage ratios continue to be very strong with fixed charge coverage at 3.6x in both interest and debt service coverage ratios at 4.2x. Our net debt to annualized adjusted EBITDAre was 4.9x at quarter end, which is below the low end of our targeted range. Additionally, our net debt to gross assets was 38% on a booked basis at quarter end, and our common dividend continues to be very well covered with an AFFO payout ratio of 64% for the third quarter. Now let's move to our balance sheet, which is in great shape to support our expected growth. At quarter end, we had consolidated debt of $2.8 billion, of which $2.4 billion is either fixed rate debt or debt that has been fixed through interest rate swaps with an overall blended coupon of approximately 4.3%. During the quarter, we amended our unsecured revolving credit facility agreement to remove the SOFR index adjustment, which decreased our all-in interest rate by 10 basis points. Our liquidity position remains strong with $13.7 million cash on hand at quarter end and $379 million drawn on our $1 billion revolver. While our leverage is below the low end of our range and our 2025 guidance continues to have no equity issuance assumed, we plan to finalize our new ATM program in Q4. We currently have a direct share purchase plan in place for equity issuance, but the ATM program will provide us with an additional tool in our toolbox for raising such capital. We are increasing our 2025 FFO as adjusted per share guidance to a range of $5.05 to $5.13 from a range of $5 to $5.16, represented an increase over the prior year of 4.5% at the midpoint. Please note that as in prior years, our fourth quarter FFO as adjusted per share is expected to be lower than our third quarter primarily due to the seasonality related to The Kartrite Hotel and Indoor Water Park and our joint venture RV properties. We're also narrowing our 2025 investment spending guidance to a range of $225 million to $275 million from a range of $200 million to $300 million. We are increasing guidance for disposition proceeds for 2025 to a range of $150 million to $160 million from a range of $130 million to $145 million. On the next slide, we are narrowing our percentage rent and participating interest income to a range of $22.5 million to $24.5 million from a range of $21.5 million to $25.5 million, and raising the low end of our estimate for G&A expense to a range of $54 million to $56 million from a range of $53 million to $56 million. We are also updating the guidance for our consolidated operating properties, which is provided by giving a range for other income and other expense. Guidance details can be found on Page 23 of our supplement. Now with that, I'll turn it back over to Greg for his closing remarks.
Gregory Silvers: Thank you, Mark. As our results demonstrate, our portfolio continues to be strong and resilient. We have executed on a very aggressive capital recycling plan this year with our guidance implying over $150 million of sales. Notwithstanding this capital recycling, we are projecting to deliver over 4.5% growth in FFO as adjusted. As a result of this recycling and cash flow generation, we have positioned ourselves to materially accelerate our capital deployment in 2026. We are very pleased and excited as we bring 2025 to an end and look forward to 2026. With that, why don't I open it up for questions? Sophie?
Operator: [Operator Instructions] We'll take our first question from Smedes Rose from Citi. [Operator Instructions].
Bennett Rose: I wanted to ask a little bit more about the credit losses that you're reserving for? You mentioned a $6 million mortgage note, and then just some changes -- expectations around the broader macro economy. Could you maybe just talk about that a little more? And any sort of incremental detail around what happens with the underlying property there?
Gregory Silvers: Sure, Smedes. I think, first of all, again, it's a small tenant that we will -- we will see how they continue to perform. We just thought it was prudent to reserve that. If not, we have assets related to that, that we can look to take control and sell. Then the larger macro issue is just, I'm going to get this wrong, Mark, it's CECL so how that works. And there's a lot of factors that go into that. Mark, maybe you can give some more detail on them.
Mark Peterson: Yes. So there's macroeconomic indicators that go into that. That can move up and down as it does every quarter, sometimes positive, sometimes negative. So really, I think just the outsized number this quarter was really the $6 million note that, as Greg said, that we determined we needed to reserve. Again, it's the only investment we have with that small tenant.
Bennett Rose: Okay. And then, I just wanted to ask you, too, you've talked a little bit about accelerating acquisition volumes in 2026. Could you maybe just put some sort of scope around that in terms of where you think volume could go and let's putting aside the whole Genting thing for a minute, but if you wanted to stay leverage-neutral for '26?
Gregory Silvers: Well, I think that's the question. And I think we need to be really clear about this that we -- in this acceleration plan, the Genting was never ever requirement for us to do that. Again, and Mark can detail this, we've significantly moved leverage down to below -- at or below the low end of our leverage range. So when we think about taking that up to what is our natural kind of in the midpoint of that at 5.3, and looking at our cash flow generation, we feel comfortable that we can go to that $400 million, $500 million range without any additional need of capital recycling. So when we talk about those levels, we're very comfortable without Genting or without any transaction involving that property being able to do that. So I think the narrative that we need that to occur in order to allow us to do those levels is factually inaccurate. But Mark, maybe.
Mark Peterson: Yes. And just to add to that, if you just do the math, forget Genting, do the math on, say, $500 million investment spending when you utilize our cash flow, a little bit of disposition kind of do the math. You end up still probably below the midpoint of our targeted leverage range, again, because we're beginning so low at about 5x. So we'll be below 5.3 if you just do the math. The Genting thing purely becomes an opportunity to delever our balance sheet by about 0.3 turns if you do the math on that. So again, as Greg said, we view Genting as an opportunity, not an overhang, not necessary to execute our plan, but would provide us additional dry powder, but again, not necessary to execute our plan next year to grow significantly.
Operator: We'll take our next question from Kathryn Graves with UBS. [Operator Instructions].
Kathryn Graves: My first, I'm wondering if you could just provide some capital on the duration of the mortgage financing investment with Altea Active? And then, maybe just talk a bit about how that kind of investment fits within your larger array of investments that you have available to you?
Gregory Silvers: Sure. Greg, do you want to...
Gregory Zimmerman: Yes. So it's structured as a mortgage mostly because of implications of Canadian currency, et cetera. And the idea is to provide growth capital for Altea as they grow their business. It's structured as, I believe, a 20-year mortgage. So long-term mortgage, not short-term financing, and we expect to be in a long-term partnership with Altea.
Gregory Silvers: I would say, I would echo what Greg said. What we found often in Canada is for taxation purposes, mortgage structures, allowing you to have a more efficient structure. And so we've leaned into that, but I would just tell you that mortgage is probably more like a synthetic mortgage, it reads like a lease -- synthetic lease, I'm sorry, synthetic lease.
Kathryn Graves: Got it. That's helpful. And then my second question, several of your more retail-focused peers have reported seeing increased competition for deals from private players, family offices, et cetera. I'm wondering if you've also seen any of this competition in your acquisition landscape or whether you're asset class and sort of the uniqueness of it, maybe it helps buffer from some of that competition. And then has that also allowed cap rates to kind of stay where they are? Have you seen some compression more recently in your current pipeline?
Gregory Silvers: I'll let Greg also jump in. But I would say always, I think there's competition out there. I don't think it's as many debt play in our spaces as do in the retail space, but I do think there is -- as we talked about, there's been increased deal flow. I think that's starting to work in our favor. And I think cap rates have fairly -- been fairly stable, right?
Gregory Zimmerman: Yes. I think cap rates are stable, for sure. And again, we'll run into all those kind of investors in larger deals. But as we say repeatedly, we've got a pretty granular approach, our team is out all over the country in Canada, looking for deals. So that's how we're able to find great assets like Altea Active and some of our Hot Springs resorts. So I think we're pretty comfortable that in that space, we've got a very nice run rate, and as we increase our ability to participate in larger ticket deals, we'll probably run into more of the competitors the change.
Operator: We'll take our next question from Upal Rana with KeyBanc Capital Markets. [Operator Instructions].
Upal Rana: Could you touch on the larger investment opportunities that you're seeing in the market today?
Gregory Silvers: Well, without disclosing any specific, I think it's pretty broad-based. I think we're seeing nice large opportunities in several of our verticals, so it's not limited to kind of one area. And like I said, we think of those as over $100 million and over. And I think, there's probably somewhere between 3% and 5% in the market right now. So I think it's, again, somewhat of a change from what we've seen from the first half of the year, no doubt. So it's both exciting. And as we talked about in the spaces that we play, we're very much known to all the players. And so we're seeing all these deals, and we're excited about the opportunity set.
Upal Rana: Okay. Great. That was helpful. And then I appreciate the ATM program status update you provided. Could you provide some color on your strategy and how you plan to issue equity in terms of what your pricing is and when?
Mark Peterson: Yes. As we mentioned, we're not dependent on equity for next year's plan with just debt financing and our free cash flow, et cetera. We'd be under the midpoint of our range. That said, opportunistically, we may decide to raise equity. Certainly, the price has to be at a point where it makes sense, and that would just allow us to delever further and provide more dry powder. And our ATM program will allow us to do that in an effective way, currently, we have a direct share purchase plan, and we can also dribble out stock, but we are excited about the ATM program and the ability to do forward-type deals and so forth. So -- but it's entirely contingent on the market and the market is in a good place, a good price for us, and it doesn't make sense to issue equity to lower our leverage.
Operator: Our last question comes from Jana Galan with Bank of America Merrill Lynch.
Jana Galan: Thank you for quantifying the larger deals on the market that you're looking at. Can you also give some color on the smaller ones and then maybe kind of yield differentials between the large and smaller investment opportunities?
Gregory Silvers: Yes. And I'll let Greg also join in. I mean, we've made a lot of our path over the last several years of kind of what we would say is the $25 million to $75 million deals, and those are still very much out there. Those are the, what I would say, much more of the bespoke relationship deals that we have, and those have always been part of what we have done. I think those are less -- they're less competitive and they're, again, because of this bespoke nature, how we get those deals, but I think those are still comfortably in the 8s. I think it gets a little more competitive when you get into larger deals, and people looking for volume. It doesn't mean that those are materially moving that may be 25 basis points, but I think we feel like we're in a position to be competitive with those given our understanding of those deals. But Greg, probably...
Gregory Zimmerman: No, I think, you covered this.
Jana Galan: Great. And then just maybe on the new Altea mortgage loan, and maybe it's due to the discussion you had about the way it was structured, but just curious on the yield there. Is that more representative of the Canadian market?
Gregory Zimmerman: No. I mean, the number we quoted is in U.S. dollars. And so if you use U.S. dollars, the yields we're getting are similar to what we would get in the U.S.
Operator: This completes the allotted time for questions. I will now turn the call back over to Greg Silvers for any closing remarks.
Gregory Silvers: Thank you, everyone. We appreciate your time and attention. Look forward to talking to you guys many times in the fall, and have a great day. Thank you.
Gregory Zimmerman: Thank you.